Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Cirrus Logic First Quarter Fiscal Year 2023 Financial Results Q&A session. At this time, all participants are in a listen-only mode. After a brief statement, we will open up the call for questions from analysts. Instructions for queuing up will be provided at that time. As a reminder, this conference is being recorded for replay purposes. I would now like to turn the call over to Ms. Chelsea Heffernan, Vice President of Investor Relations. Ms. Heffernan, please begin.
Chelsea Heffernan: Thank you and good afternoon. Joining me on today’s call is John Forsyth, Cirrus Logic’s Chief Executive Officer; and Venk Nathamuni, Chief Financial Officer. Today, we announced our financial results for the first quarter fiscal year 2023 at approximately 4 p.m. Eastern Time. The Shareholder Letter discussing our financial results, the earnings press release, along with the webcast of this Q&A session are all available at the company’s Investor Relations website. This call will feature questions from analysts covering the company. Additionally, the results and guidance we will discuss on the call will include non-GAAP financial measures that excludes certain items. Reconciliations of these non-GAAP measures to their most directly comparable GAAP measures are included in our earnings release and are all available on the company’s Investor Relations website. Please note that during this session, we may make projections and other forward-looking statements that are subject to risks and uncertainties that may cause the actual results to differ material -- materially from projections. By providing this information, the company expressly disclaims any obligation to update or revise any projections or forward-looking statements whether as a result of new developments or otherwise. Please refer to the press release and the Shareholder Letter issued today, which are available on the Cirrus Logic website and the latest 10-K, as well as corporate filings registered with the Securities and Exchange Commission for additional discussion of risk factors that could cause actual results to differ materially from the current expectations. Now, I’d like to turn the call over to John.
John Forsyth: Thank you, Chelsea, and thank you everyone for joining today’s call. As you had seen in the press release, Cirrus Logic delivered outstanding results with record first quarter revenue, even in light of continued supply chain constraints. Before we discuss the details of those results, I’d like to take a moment to recap the three key pillars of the strategy driving the momentum and success that we are now seeing. These are, one, maintaining our leadership position in smartphone audio by continuing to deliver world-class products and outstanding execution to the leading customers in the market; two, broadening sales of audio components into key profitable applications beyond smartphones; and three, leveraging our world class mixed-signal engineering expertise in order to build a growing footprinted products outside of audio in the area we call our high performance mixed-signal product lines. We believe this area will yield significant opportunities both within smartphones and beyond. This quarter we continue to execute on all three fronts to an impressive extent. In audio, we have been encouraged by customer engagement across our portfolio of amplifiers and codecs. During the quarter, we began developing a next-generation smart codec for smartphones in the 22-nanometer process node and also began initial production ramps ahead of new smartphone introductions later this year. Additionally, we are proud to have recently received the Galaxy Quality Best Award from Samsung’s MX Division for our quality performance. This further demonstrates the reputation Cirrus Logic has for outstanding execution among our world class customers. Despite the near-term slowdown in demand in the laptop market, customer engagement there remains strong and we continue to see an increased opportunity for high quality audio in laptops, as we benefit from several secular trends that we believe can contribute to revenue growth and market diversity longer term. To capitalize on these trends, we are now sampling a new amplifier and recently taped out a new codec, both optimized specifically for the emerging audio architectures in laptops. In fiscal year 2023, we expect to see over 40 new laptop models come to market featuring our components. Turning to our high performance mixed-signal product lines, development and design activity are stronger than ever across this category. Our customer engagements and the close engineering collaboration with our customer around camera controllers continues to strengthen as we work together to identify new opportunities to enable advanced functionality and to improve the camera experience. In fiscal year 2023, we expect to benefit from both the higher attach rate of our camera controller in the newest devices and also a more favorable mix of smartphones on the market that include our camera components. And in power, building on the success of our first-generation power conversion and control IC, we have today investing in intellectual property and capabilities that will bring further innovations and address new challenges, including those of battery health and longevity in the coming years. In summary, we are delighted with our financial results, our customer engagements and our progress in executing against our strategy in the quarter. We remain focused on serving our customers, diversifying our product portfolio and broadening our addressable market into new application areas. With the wide range of technology investments we are making today, we believe we have a solid pipeline of opportunities to expand the HMPS dollar content in fiscal year 2024 and beyond. And with that, let me now turn the call over to Venk to provide an overview of our financial results for our fiscal first quarter 2023, as well as guidance for fiscal Q2 2023.
Venk Nathamuni: Thank you, John. Fiscal first quarter revenue was $393.6 million and a record for the June quarter. Revenue was up 42% from a year ago and about the high end of our guidance range. Our strong results were driven by high performance mixed-signal content gains and to a lesser extent higher ASPs. Non-GAAP gross profit in the quarter was $202.9 million and non-GAAP gross margin was 51.5% and exceeded expectations due to favorable product mix. On a sequential basis, gross margin was down as cost increases that took effect in January were fully reflected in product shipments during the June quarter. This was partially offset by a favorable product mix. The year-over-year change in gross margin reflects the favorable impact of higher ASPs on our general market products. Going forward, we expect gross margin to be more in line with our long-term model and I will cover this topic more in the guidance section. Non-GAAP operating expenses in the quarter were $119.5 million, down $3.6 million sequentially. Operating expenses came in slightly below the midpoint of our guidance range despite higher revenue and the sequential decline was primarily driven by a reduction in variable compensation and employee related costs. This was partially offset by higher product development expenses. Non-GAAP operating income was $83.4 million in the first quarter or 21% of revenue. Non-GAAP net income in the first quarter was $64.5 million or $1.12 per share. Let me now turn to the balance sheet. Our balance sheet remains strong and we ended the first quarter of fiscal year 2023 with approximately $454 million in cash and cash equivalents. This was up roughly $9.5 million from the prior quarter, due to strong cash flow generation, partially offset by stock repurchases during the quarter. I’d note, we have no debt outstanding. Inventory was $174 million, up $36 million sequentially and days of inventory was 83 days in Q1, up 28 days sequentially. I’d note, this is in line with normal seasonal trends as we began building ahead of product launches later this year. Turning to cash flow, cash flow from operations was $74.4 million in the quarter and free cash flow for the quarter was $67.1 million. In Q1, we utilized $56.4 million to repurchase roughly 725,000 shares of our common stock at an average price of $77.78. As of the end of Q1 fiscal year 2023, we had $136.1 million remaining in our 2021 share repurchase authorization. Furthermore, the Board of Directors last month authorized the company to repurchase up to an additional $500 million of the company’s common stock. We expect to continue to return capital in the form of stock repurchases, which we believe will provide a long-term benefit to shareholders going forward. And now, onto the guidance, for the fiscal second quarter of 2023, we expect revenue in the range of $450 million to $490 million. On a year-over-year basis, our expected revenue growth is largely driven by higher ASPs and to a lesser extent increased high-performance mixed-signal content in smartphones. As I alluded to earlier, we expect gross margins to be around our long-term model of 50% due primarily to product mix. As a result, in the September quarter, we expect gross margin to range from 49% to 51%. Non-GAAP operating expense is expected to be up sequentially in the range of $123 million to $129 million. The sequential increase is expected to be driven primarily by higher product development costs. We expect SG&A to remain flat sequentially. On the tax front, as we mentioned in our Q4 fiscal 2022 earnings release, due largely to a tax slew effective this year that requires companies to capitalize and amortize R&D expenses rather than deduct them in the current year. We expect our fiscal 2023 non-GAAP effective tax rate to be approximately 23% to 25%. We continue to anticipate that under this rule, our effective tax rate will decrease and may return to a normalized range in about five years as additional years of R&D expenses are amortized for tax purposes absent any changes to the legislation. However, there appears to be legislative support for delaying or eliminating this rule, which we are watching closely. I’d note that without the impact of this rule, our non-GAAP effective tax rate would be in our more typical mid-teens range. In closing, we had a strong Q1 fiscal year 2023. Going forward, we will focus on the best opportunities to enable the company to continue to grow both revenue and profitability over the long term. And before we begin the Q&A, I’d like to note that while we understand there is intense interest related to our largest customer, in accordance with Cirrus Logic company policy, we will not discuss specifics about this business relationship. With that, let me turn the call to Chelsea to start the Q&A session.
Chelsea Heffernan: Thanks, Venk. We will now start the Q&A portion of the earnings call. Please limit yourself to a single question and one follow-up. Operator, we are now ready to take questions.
Operator: [Operator Instructions] Your first question comes from the line of Matt Ramsay with Cowen. Your line is open.
Matt Ramsay: Thank you very much, John, Venk. Good afternoon and congratulations on the results. I just wanted to ask one question. John, in the scripts you were, I think, much more specific about the number of engagements and the number of potential wins and the trends in the business that you might have an audio going into the notebook market and I think we are all aware of some of the challenges in notebook units globally, but this is all greenfield for you guys. So I wonder if you might characterize how large that opportunity could be for Cirrus in the long-term sort of relative to the smartphone business? And I will just go ahead and ask my follow-up while I am on, it’s a bit unrelated but I noticed the Android piece of your audio business down pretty sharply, which I guess is no surprise given what’s going on in the China smartphone market in the mid-tier. I just wonder if you guys feel going into the latter half of the calendar year that that business has been derisked?. Thanks, guys.
John Forsyth: Thank you, Matt. I appreciate the kind words there. Let me talk about the laptop market first. Yes, we are specific on the rate of design activity. We see there because we think it’s very exciting. I appreciate there are some headwinds in that market right now with something of a slowdown, but if there is a demand for that doesn’t really change what we see as being the fundamental drivers of our strategy, which are based around as I mentioned, secular factors to do with an evolving audio architecture and alongside that potential opportunities in haptics and power as well so. So all of those really excites us about the laptop market, given as you say, the fact that it’s really greenfield opportunity for us and we tend to do well when we have got good relationships with a small number of big customers and we are -- today we are engaged in shipping with four out of the top five laptop OEMs. So, again, that positions us well.  In terms of the overall size, I am not going to predict what we can do, but from a SAM perspective, we see this within our strategic planning horizon as getting to a $1 billion SAM or higher across audio haptics and power. So it’s a very attractive market for us and you can see the momentum that we are building there today. Let me move on from that to your question about Android and I am going to refer back to comments I made, I think, last time around that really our business today and this year has really been supply constrained. And one of the impacts of that is having to be very selective about which circuits we chase within smartphones and elsewhere but that has had an impact on our Android business. So it’s not a question of being short to customers in a given month, it’s just not -- it’s a question of not committing to certain designs, if we didn’t feel confident we have the supply. So we anticipate our android business still being supply constrained through the rest of fiscal 2023. That said, we are well embedded in the flagship tier of that market and in so far as we can expand supply, we will look to do that and look to continue to build on the momentum that we have there.
Operator: Your next question is from the line of Tore Svanberg with Stifel. Your line is open.
Tore Svanberg: Yes. Thank you and congrats on the results. The first question is on the new smart codec. I know typically this chip changes sort of every two years, three years or so. I was just wondering about the dynamics there as far as pricing, I assume that you had some new features and things like that. So is that an opportunity to perhaps get some better prices on that as sort of latest and greatest smart codec?
John Forsyth: Yeah. Thank you, Tore. First of all, on the timing there that the time in market or the lifespan of both codecs and boosted amplifiers has been elongating over the years, that’s partly a product of relative product maturity. So it’s certainly backed off a bit from the cadence when they were updated every couple of years. But it is -- yes, it is a significant update to a significant product for us. I am not going to speak to pricing specifically this far out, but as you know, when we make a large investment of effort that it takes to migrate a lot of mixed-signal circuitry to a new process node. That’s typically because we see an opportunity and a requirement to pack in a lot more digital processing. That’s really the logic that drives you down from -- in this case from 55-nanometer to 20-nanometer and that increased processing represents more features and capabilities and so you do typically expect to see some ASP accretion on -- in line with that.
Tore Svanberg: Great. Thank you for that. And then my follow-up, you mentioned in the Shareholder Letter that given the tightness of especially 55-nanometer, you do intend to move down to lower geometries. I was hoping you can expand a little bit on that, because obviously, there is more capacity there but it’s also more leading edge, which could be more expensive, right? So I just want to make sure that I understand this correctly, you want to go there because it’s more capacity, but you are not going to go really real advanced or perhaps the nodes are significantly more expensive than at the 55-nanometer node?
John Forsyth: Yeah. I think you hit the nail on the head. Tore, it’s different depending on the product line, whether or not that’s the right thing to do. Just to back up a little on that topic. As you know, last year we took this important strategic step of putting in place a long-term agreement with Global Foundries to help support our growth in our customers’ plans and I think on every call since then, I have said, if we could get more supply, we would take it. That’s partly because of the strong demand environment that we see immediately around us in the near-term, but it’s also partly because we see a pipeline of further opportunities to grow dollar content ahead of us and we need both capacity and new technologies in order to capitalize on those opportunities. In some cases that maybe -- those maybe technology is available on 55-nanometer, in some cases 22-nanometer, in some cases maybe other options. But you are right, the economics are different depending on and the suitability of a given process node will depend on the nature of the exact product. But I will say driving high-voltage, high-precision mixed signal to ever more advanced geometries has been a key part of where a lot of our competitive advantage lies. So expect to see us continue to do that, obviously, our investment in the 22-nanometer codec is a great case in point.
Operator: Your next question comes from the line of Christopher Rolland with Susquehanna. Your line is open.
Christopher Rolland: Hi, guys. Thank you for the question. My guess -- I guess my question is around power and some of your mixed-signal capabilities there. First, I guess, traction or an update for Lion and how that’s going? And then, secondly can you talk about your power conversion roadmap and any capabilities we might see their increase in that roadmap over time? Thanks.
John Forsyth: Thanks, Chris. While we continue to be excited about both what the Lion team and the Lion IP can bring to us in terms of both product and market diversity. Obviously, at the time of the acquisition, the Lion’s team -- the Lion team’s sole focus was really on the Chinese smartphone market, which you may have heard has experienced some headwinds. But our vision for those technologies always went well beyond those products. So it happened since that acquisition, the team has made some great progress and some notable gains in smartphones outside of China, which we are delighted about. But today that -- at least a major part of that team is focused on developing products for other markets including the laptop market, which I referred to a little earlier is having some meaningful power opportunities for us there as well. So we think that market diversity is going to be a good part of where that team’s future lies.
Christopher Rolland: Okay.
John Forsyth: Regarding our -- oh! Sorry.
Christopher Rolland: Go ahead. Sorry, John.
John Forsyth: Yeah. Regarding the broader power market, you asked about the roadmap there. I am not going to go into specifics. Obviously, the power conversion stuff we have done to-date has been custom silicon focused on battery health and longevity. We think there’s significant opportunity for further innovation around the battery. So we are investing in that. That’s a big focus of our R&D efforts over the past year and in the coming years. So that will -- I will leave it there given the custom nature of those products.
Christopher Rolland: Great. Thanks, John. And I think you did mention Android, that’s really my follow-up here. I guess, first of all, how would you describe the state-of-the-state in the Android market now and then beyond maybe inventories or sell-through or whatever the downside there is? I would love to know what you are seeing in terms of design and your best opportunities as you see them looking forward in Android for Cirrus?
John Forsyth: Yeah. I think the China-based Android smartphone slowdown is, it’s been well covered and I think we first started talking about that in the December when we were covering the December quarter last year given that we saw it beginning then. Outside of there in Android, we continue to be very well engaged obviously with Samsung and other top tier Android vendors. And I think top tier is probably how I’d characterize it, given current supply constrained environment, I think there’s no doubt that we are the first choice for flagship Audio in Android smartphones. We make the best mobile amplifiers on the planet and we have very, very good relationships with the customers there to the extent that we can expand supply, we would expect to be able to sell more over time.
Operator: [Operator Instructions] Your next question is from David Williams with The Benchmark Company. Your line is open.
David Williams: Hey. Good afternoon and thanks for taking the question. I guess, first, you talked a little bit about the supply constraints, but just kind of wondering if you maybe elaborate on that a bit. Just what do you -- how are you seeing think generally is improving stable and maybe just from the consumer electronics kind of softness that we have seen, do you think that will get a little better maybe available capacity?
John Forsyth: Well, we have seen in certain areas limited incremental capacity upsides, but I think it’s important to keep in mind that the majority of our revenue is based around a couple of processes and process nodes at major foundry partners, which is still on the -- experiencing very, very high demand. So we haven’t seen significant movement there as yet.
David Williams: Okay. And then maybe just around the OpEx, if you think about it for the year, just some of the investment initiatives you have. How should we think about OpEx trending for the year and maybe longer term?
Venk Nathamuni: Yeah. Thanks for the question. This is Venk. So as we look at the OpEx, we have seen over the last couple of quarters, we have trended to increase our R&D, primarily because we have -- we see a good funnel and good pipeline of opportunities for us to grow the revenue over the long-term and so we will be very deliberate about investments in R&D. But as it come -- as it relates to SG&A we will be actually guided for it to be flat. So we are not going to give full year guidance at this point, but it’s probably a fair guess that will be very thoughtful about our investments going forward. We will continue to invest in R&D for the long-term. But wherever it makes sense for us to control hiring for non-critical functions and such, we will do so.
Operator: Your next question is from the line of Blayne Curtis with Barclays. Your line is open.
Tom O'Malley: Hey, guys. Thanks for taking my question. This is Tom O'Malley on for Blayne Curtis. I just wanted to ask on the seasonality into September, obviously, earlier in the year you had kind of a cautious outlook into June and end up being a bit better. But as you look into September compared to the past couple of years, it looks slightly less seasonal and your commentary has really been around increased content with a better ASP. So could you talk to whether that’s conservatism or if you are seeing some slowdown just because from the broad perspective, particularly your large customer things seem pretty good, so just on the September guidance and why that’s a little less seasonal than in prior years?
Venk Nathamuni: Yeah. Let me take that one. So as you pointed out, our March and June quarter numbers were pretty strong, and clearly, there’s lots of shifting with us as it relates to the macro and such. As it relates to our specific bookings and booking patterns, we don’t see anything that’s different from what we have seen in prior years. But one thing to expect is that, the order pattern should be more linear towards the rest of the year, primarily because of the -- a significant upside that we saw in the March and the June quarters. But, overall, I would say that, the order patterns are as expected. Clearly, for this particular quarter, we see our -- one of our lead customer is actually build for their product launch and that’s kind of driving our shipments as well. But we would just not read too much into that at this point and we think that the linearity for the rest of the year should be a little more pronounced than it has been in prior years.
Tom O'Malley: Helpful. And then just on the Android market, obviously, the weakness that you have seen in the near term was pretty severe. Is there any hope that there is a bounce off the bottom into the September quarter, just any color on if you see a slightly improving market there or if you expect things to further deteriorate? Thank you.
John Forsyth: I don’t think we have any additional color on the Android market specifically in the coming quarter, Tom. I mean I wish I did. Clearly, there’s just a lot of macro uncertainty there and we have -- we are obviously shipping a lot of silicon into products where -- within the smartphone market where the demand has been really very resilient. As you know, the Android market just has seemingly a lot more uncertainty around it.
Venk Nathamuni: And then, if I can add to it. John pointed out, clearly, we are shipping to the slice of the market that seems to have a little more robustness around it and we are all reading the same signs in terms of what’s happening in China as it relates to Android and also the rest of the world. And as the macro situation develops, we will keep an eye. But most of our focus has been primarily driven by the shipments that we have made into the high end of the market, and as John pointed out earlier, those are still supply constrained.
Operator: Our final question comes from the line of Ananda Baruah with Loop Capital. Your line is open.
Ananda Baruah: Hey, guys. Good afternoon. Thanks for taking my question. Two, if I could. Just maybe stating the obvious, but on the audio constraints assuming then there is no real inventory built up sort of throughout your ecosystem or at least got not significant and so sort of seasonality over the next couple of quarters will probably ebb and flow more towards true demand is, is that a sort of a fair assumption? Then I have a quick follow-up as well.
John Forsyth: Yeah. Thank you, Ananda. Obviously, our view of that is imperfect, but we ship based on the demand signals that we see from our customers. But given the quantity of our silicon that goes into smartphones where our customers have publicly commented on the robustness of demand. And the fact that really on the supply side, we have spent the whole year with the team just working as hard as it can, just to keep up with demand for those products. I think the likelihood that there is a significant buffer of silicon out there is comparatively low.
Ananda Baruah: That’s super helpful. Thanks. And just a quick follow-up on the laptop, you mentioned in the Shareholder Letter, you kind of work from home remote work being a catalyst and so is that to say that there is a sort of skew in the 40 laptop towards commercial exposure as opposed to consumer exposure?
John Forsyth: That is certainly a meaningful part of it. Yes. That’s one of the secular drivers that I don’t think is going to change, suddenly from conversations I have had with very senior people running laptop businesses within some of those four out of the top five OEMs that I talked about, they will admit that audio did not used to be a feature that was very high on the spec list and it absolutely needs to be first class now, the AV experience and that’s really driven by the pervasive nature of hybrid working. So that’s going to be true and consumer, of course, but we do see that as being highly relevant in the Enterprise segment as well.
Chelsea Heffernan: With that we will end the Q&A session. I will now turn the call back to John, for his final remark.
John Forsyth: Thank you, Chelsea. In summary, in the June quarter, Cirrus Logic delivered record first quarter revenue driven by strong execution across our three strategic drivers, continuing our leadership in smartphone audio, broadening sales of audio components in key profitable applications beyond smartphones and applying our mixed-signal expertise to expand into new adjacent high-performance mixed-signal markets. We are more excited than ever about the opportunities that we see ahead and we thank you for your continued interest and Cirrus Logic. Before we close, I’d also like to note that we will be participating in the KeyBanc Conference on August 8th in Vail. Please check our Investor website for the details. If you have any questions that were not addressed you can submit them to us via the Ask the CEO section of our Investor website. I’d like to thank everyone for participating today. Thank you. Good-bye.
Operator: Ladies and gentlemen, this concludes today’s conference call. You may now disconnect.